Operator: Good day, and thank you for standing by. Welcome to Second Quarter 2022 Earnings Release Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to Judy Anderson, Weyco Group Chief Financial Officer. Please go ahead.
Judy Anderson: Thank you, Amy. Good morning, and welcome to Weyco Group's conference call to discuss second quarter 2022 earnings. On this call with me today is Tom Florsheim, Jr., Chairman and CEO. Before we begin to discuss the results for the quarter, I will read a brief cautionary statement. During the course of this call, we may make projections or other forward-looking statements regarding our current expectations concerning future events and the future financial performance of the company. We wish to caution you that these statements are just predictions and that actual events or results may differ materially. We refer you to the section entitled Risk Factors in our most recent annual report on Form 10-K and to our other filings with the Securities and Exchange Commission for a discussion of important factors and risks that could cause our actual results to differ materially from our projection, including the uncertain impact of inflation on our costs, and consumer demand for our products, and the continuing direct and indirect effects of COVID-19 pandemic in the U.S. and Asia.  Overall net sales were a second quarter record of $74.4 million, up 29% compared to $57.6 million in 2021. Consolidated gross earnings were 40% of net sales compared to 39.4% of net sales in last year's second quarter with gross margins up in both our North American wholesale and retail segment. Earnings from operations rose 25% to $5.7 million from $4.5 million in the second quarter of 2021. Quarterly net earnings rose to a second quarter record of $4.5 million or $0.47 per diluted share from $3.8 million or 39% per diluted share in 2021.  Net sales in the North American wholesale segment were a second quarter record of $59 million, up 41% from net sales of $41.9 million in 2021. Robust demand fueled the growth in our wholesale segment with all of our brands posting sizable gains over last year. Wholesale gross earnings were 33.7% of net sales in the second quarter of 2022 compared to 32.4% of net sales in 2021. Gross earnings improved as spring 2022 price increases took effect and due to lower inbound freight costs as overall demand for container space from China eased during the quarter.  Wholesale selling and administrative expenses were $15.7 million or 27% of net sales for the quarter compared to $10.9 million or 26% of net sales last year. The increase was largely due to higher employee costs associated with the company's increased sales volumes. Additionally, last year's second quarter expenses were reduced by $1.8 million in government wage subsidies. Wholesale operating earnings rose to $4.2 million in the second quarter of 2022, up 58% from $2.7 million last year, mainly due to higher sales volumes and gross margin. Net sales of the North American retail segment were a second quarter record of $7.4 million, up 20% from $6.2 million in the second quarter of 2021. The increase was primarily due to higher sales volumes across all our e-commerce websites.  Our e-commerce businesses continue to reflect the strength of our brands. Retail gross earnings as a percent of net sales were 67.4% and 65.6% in the second quarters of 2022 and 2021, respectively. Retail gross margins benefited from higher selling prices and lower inbound freight costs this year. Selling and administrative expenses for the retail segment totaled $3.9 million for the quarter compared to $2.9 million last year. The increase was primarily due to higher e-commerce expenses, primarily outbound freight and advertising. Retail operating earnings were $1.1 million for the quarter, down 5% compared to $1.2 million last year. The decrease was primarily due to lower earnings from our e-commerce businesses as higher sales were offset by higher selling and administrative expenses.  Our other operations have historically included the wholesale and retail businesses of Florsheim Australia and Florsheim Europe. However, as previously disclosed, the company closed Florsheim Europe and is in the final stages of winding down this business. As a result, the 2022 operating results of the other category reflects only that of Florsheim Australia. Other net sales for the second quarter totaled $8 million, down 16% compared to $9.5 million in the second quarter of 2021. The decrease was largely due to the closing of Florsheim Europe, but also due to a 4% decline in net sales at Florsheim Australia.  The weakening of the Australian dollar relative to the U.S. dollar led to this decrease as Florsheim Australia's net sales in local currency were actually up 4% for the quarter due to higher sales in its retail businesses, partially offset by lower sales in its wholesale division. Other operating earnings were $365,000 for the quarter versus $718,000 last year. The decrease was primarily due to lower operating earnings in Australia's wholesale division.  At June 30, 2022, our cash short-term investments and marketable securities totaled $17 million, and we had $5.4 million outstanding on our $40 million revolving line of credit. During the first 6 months of 2022, we drew $5.4 million on our line of credit and liquidated $8.1 million of investment securities. We used funds to pay $4.6 million in dividends and to repurchase $2.5 million of our company stock. In addition, our operations resulted in a net $18.7 million use of cash, mainly to fund inventory purchases. We also had approximately $722,000 of capital expenditures.  We estimate that 2022 annual capital expenditures will be between $1 million and $2 million. We have further drawn on our line of credit since June 30, and we expect our borrowings to peak over the next several months as we continue to build inventories. However, we anticipate a busy shipping season in the third and fourth quarters, which should then cause our cash collections to exceed cash outlays and bring our borrowing balances back down to more normal levels. On August 2, 2022, our Board of Directors declared a cash dividend of $0.24 per share to all shareholders of record on August 26, 2022, payable September 30, 2022. I would now like to turn the call over to Tom Florsheim, Jr., our Chairman and CEO.
Thomas Florsheim: Thanks, Judy, and good morning, everyone. We continue to be very happy with the strength of our wholesale business, which had an overall sales increase of 41% versus last year and a gain of 28% over 2019. While a portion of our large wholesale increase was the result of pipeline fill, overall consumer demand and retail sell-throughs remain robust, especially when compared to 2019 levels. While we are mindful of possible changes in the consumer mindset due to macroeconomic pressures, we are confident in the position of our branded portfolio as we head into the back half of 2022. In addition, we are pleased to report that the lion's share of supply issues are behind us as we move into our important shipping period with the necessary inventory to meet our backlog.  Our legacy division posted significant increases in shipments with both Florsheim and Stacy Adams up 47% and Nunn Bush up 25% over 2021. All 3 brands also had solid gains over the second quarter of 2019. We continue to experience strong demand for dress shoes and refined casuals with the normalization of social events and gradual return to the office. The dress category has been primarily responsible for our increase in volume. We are also excited about the progress we've made in the casual area. Over half of what we sell today in Nunn Bush are true casuals and the new casual offerings we have sold in Florsheim and Stacy Adams have allowed us to pick up more closet share as a company. It is clear that with the increase in pricing across many basic consumer goods, there's more competition for discretionary household income. Nevertheless, so far, the dress category is a bright spot in the apparel world, and we are optimistic that this trend will continue throughout the year.  In our outdoor division, BOGS sales were up 35% and 59% over 2021 and 2019, respectively. We entered the second quarter at a much stronger inventory position in comparison to 2021, which helped us realize higher shipments. We also continued to expand our assortment of rain boots and lightly insulated products to increase market penetration during the spring season. While we had our fair share of supply chain delays in 2021, during the final quarter of 2021, BOGS was able to ship well compared to competitors, many of which delivered very late in the season.  The end result is that many accounts rewarded BOGS with large fall -- with large orders for fall '22 as well as an expanded product range, especially in more lifestyle-oriented footwear. We currently have a record backlog for BOGS, and we expect strong shipments in the back half of this year with the caveat that BOGS shipments are still somewhat dependent on favorable winter weather. Regarding our other outdoor division brand, Forsake, we're still in the process of evolving the product and positioning the brand.  Supply chain issues have slowed the process, and we do not expect significant progress into the back half of 2023 at the earliest. Retail sales were up 20% for the quarter. The increase in retail sales was driven primarily by e-commerce, although our brick-and-mortar stores were also up versus last year in volume. We were happy about the strong consumer demand, but we were disappointed about the 5% decrease in profitability due mainly to higher outbound freight and advertising costs.  We are taking steps to better manage our retail SG&A while balancing the current momentum we have with our e-commerce platform. Sales at Florsheim Australia were down 4% for the quarter, but local currency sales were up 4%. In May, we began the transition to a new warehouse and office space in Melbourne, which interrupted our wholesale shipments, retail store stocks and limited our available e-commerce inventory for a good part of May, all of June and a portion of July.  Our Australian team did excellent work planning and executing the move as reflected in the fact that we were able to increase sales in local currency terms and be profitable for the quarter. We are very pleased with the resiliency of this business, especially given that Australia is in the midst of a significant uptick in COVID cases. With the move now largely behind us, we feel we are in a good position to grow this market for the long term. Our overall inventory level was $95.5 million as of June 30, 2022, compared to $39.4 million at the end of June 2021. We are making good progress, building our inventory back after reducing it during the pandemic.  As we have explained in previous investor calls, before the supply chain issues, only about 10% to 20% of our inventory was in transit. So historically, we did not describe the portion of our inventory that was a transit. Of the $95.5 million, approximately 40% or 1.9 million pairs was in transit while approximately 60% or 2.7 million pairs was on hand in our distribution center. Transit times remain very inconsistent on containers from Asia, so it is necessary to have our factories ship our shoes and boots earlier than usual for the fall season.  You will see our inventory continue to grow through the second half of the year to meet increased demand for our products. As we build our inventory levels, we are focusing on greater depth in our core carryforward product as this is the product that retailers replenish on a weekly basis and expect us to have a strong in-stock position. Our overall gross margin for the quarter was 40% compared to 39.4% in the second quarter of 2021. Gross margin improved due to price increases and lower inbound freight costs. The longer-term outlook for freight cost remains unclear. We instituted another price increase in July, which will move us toward our goal of returning gross margins to our historical levels.  This concludes our formal remarks. Thank you for your interest in Weyco Group, and I'd now like to open the call to your questions.
Operator: [Operator Instructions]. Our first question comes from the line of John Deysher from Pinnacle.
John Deysher: I was just curious, we're approaching the key back-to-school season, and I know that's not a big part of your business. But I guess, overall, what are you hearing from your retail base in terms of -- people are burdened with high inflation for just about everything. And I'm just wondering what feedback you're getting from retailers as it applies to the shoe category.
Thomas Florsheim: Yes. I mean your first statement was correct, John. We do not -- our business is not really driven by back-to-school, and so I don't have a lot of information regarding that. What I've heard in the conversations that I've had with our people about what retailers are telling them is that it has been a mixed back-to-school season. It has not been great, and I'm not sure really what's causing that. It's been awfully hot across the country. And I think that the other factor that influenced back-to-school selling over the last several back-to-school seasons is that it used to be that you have to go out and buy your kids whatever they need for school early because you were fearful that you wouldn't get it. Today, with Amazon and all the online -- the ability to buy everything online, I think that people don't worry as much about not being able to get the products they need. So I think that's pushed back the timing a little bit. So I think to answer your question, what I've heard is, it's been mixed.
John Deysher: Okay. Are you hearing anything about holiday sales? I mean that's going to come pretty quickly after back-to-school. Any feedback from retailers regarding holiday sales?
Thomas Florsheim: Yes. Yes. I think that in general, retailers are very optimistic still about holiday and just in general about the second half of the year.
John Deysher: Okay. That's helpful. A quick question on Forsake. What glitches occurred there? We were hoping to see an impact sooner than the second half of 2023. What exactly is happening with Forsake?
Thomas Florsheim: Right. Forsake manufactured most of their product at one factory, and we have diversified the factory base going forward. But for the spring season, we were largely still at the original factory and the original factory shipped weight both for fall '21 and spring '22. And so there really was very little new product in the market, and we're still having some issues with getting the product in here on time. And we're going to be in a better shape for fall '22, but the other thing that we are doing with the brand, John, is that we're really retooling it. The brand had a lot of platforms that were several years old. And so what we're doing is, we've -- we're running the Forsake brand out of the same office in Portland as our BOGS brand, and our BOGS merchandise people are very, very good at product. I think you've seen that in the results that we've shown with BOGS over the last basically decade. And so we're doing some of the same type of work that we've done with BOGS with Forsake, and we're broadening the product assortment and basically retooling the brand. And it has taken us a little more time, honestly, than we expected, but we are going to have some new product out there for fall '22. And then we're introducing some sandals for spring '23, and then you're going to see a big change as far as the assortment being more -- a broader assortment going into fall '23. So we're really -- that is really when we're relaunching the brand. And so unfortunately, it's just taken us longer than we expected and a lot of that is due to the supply chain and just the issues we've had getting some of the product to market.
John Deysher: Okay. Are those supply chain large factory issues behind you at this point?
Thomas Florsheim: I would say that we've made progress. They're not 100% behind us.
John Deysher: Okay. All right. Fair enough. And just a housekeeping question. On the buyback of $2.5 million during the quarter, how many shares was that?
Thomas Florsheim: One second. Judy will get that number.
Judy Anderson: That was 29 -- I'm sorry, 29,600.
John Deysher: 29,600 for the $2.5 million. Okay. Great.
Operator: [Operator Instructions]. Showing no further questions at this time. I would now like to turn the conference back to Judy Anderson for closing remarks.
Judy Anderson: I just like to say thank you, everyone, for participating in our call today, and I hope you have a good day.
Operator: All right. This concludes today's conference call. Thank you for participating. You may now disconnect.